Operator: Good day, ladies and gentlemen, and welcome to the third quarter 2011 CF Industries Holdings Inc. results. My name is Erin, and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I will now turn the presentation over to your host for today's conference, Mr. Terry Huch, Senior Director of Investor Relations and Corporate Communications. Please proceed, sir.
Terrell D. Huch: Thank you, Erin. Good morning, and thanks for joining us on this conference call for CF Industries Holdings Inc. I'm Terry Huch, Senior Director, Investor Relations and Corporate Communications. And with me are Steve Wilson, our Chairman and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; Bert Frost, our Vice President of Sales and Marketing; Tony Will, our Vice President of Manufacturing and Distribution; and Rich Hoker, our Vice President and Corporate Controller. CF Industries Holdings, Inc. reported its third quarter 2011 results yesterday afternoon as did Terra Nitrogen Company LP. On this call, we will review the CF Industries' results in detail and discuss our outlook referring to several of the slides that are posted on our website. At the end of the call, we'll host a question-and-answer session. As you review the news releases posted in the Investor Relations section of our website at cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by federal securities laws. All statements in the release and on this call other than those relating to historical information or current conditions are considered forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control and which could cause actual results to differ materially from such statements. These risks and uncertainties include those spelled out in the forward-looking statements included in yesterday's news release and the slides accompanying this call. Consider all forward-looking statements in light of those and other risks and uncertainties, and do not place undue reliance on any forward-looking statements. Now let me introduce Steve Wilson, our Chairman and CEO.
Stephen R. Wilson: Thanks, Terry, and welcome to all of you who are joining the call today. I'd like to start the call by welcoming our new CFO, Dennis Kelleher. As you know, we took our time to find the right person to fill this critical position. I'm very pleased that we were able to land someone of Dennis' caliber. He and his team have had the opportunity to compile some very good numbers this quarter. Last night, CF Industries reported third quarter net earnings of $331 million or $4.73 per diluted share on sales of $1.4 billion, all third quarter records. As was the case in the second quarter, we operated in a great market environment during July, August and September. Also like the second quarter, our team was able to execute well, utilizing our very flexible asset base to take advantage of the opportunities the market presented. In the third quarter, we reported earnings before interest, taxes, depreciation and amortization of $640 million, corresponding to a 45% gross margin. As most of you know, the crop nutrient application cadence in the northern hemisphere typically makes the third quarter our weakest quarter. The fact that we were able to generate more than $600 million of EBITDA in our slowest period seasonally, highlights the earnings potential of this company and the kind of year we're having in 2011. The backdrop for these great results is familiar to all of you by now: high crop nutrient prices, supported by strong demand and some supply constraints; natural gas costs that are stable at levels far below their average for the last decade. Third quarter demand for our products received a boost from the outstanding spring we had just completed. The U.S. had the second largest planting of corn on record, large plantings of other crops and a very long spring application season which extended into July. The resulting large crop nutrient application depleted distributor and retail inventories and left our customers needing to replenish their stocks in the third quarter. Their motivation to do so was high with a fall season looming that has a potential to be excellent as farmers, flush with cash from a record-breaking year, gear up to plant over 90 million acres of corn again in 2012. We also benefited from strong international demand for nitrogen and phosphate products. I mentioned in our August call that India had been delaying required purchases of urea, and their buyers continued to do so through September. But the awareness that they would have to return to the market helped support urea prices during the quarter. After the quarter ended, Indian buyers stepped forward and purchased 1.7 million metric tons of urea, essentially buying all near-term production that didn't already have a home. And they don't appear to be finished yet. Global supply of urea continued to be limited by the same factors that were in play during the second quarter. Chinese export tariffs reduced urea exports by 43% compared to the third quarter of 2010. Urea exports were only 1.2 million metric tons in the first 3 months of the 4-month low-tariff period, which ended earlier this week. Nitrogen fertilizer supply also was constrained by reduced gas availability in some regions, most notably Trinidad and Pakistan, and a higher overall level of unplanned outages than experienced in 2010. We believe this supported prices in the third quarter and also resulted in relatively low global ammonia and urea inventories at the end of the quarter and now. The very attractive product prices available to us in the third quarter were paired with falling spot natural gas costs, allowing us to achieve very good nitrogen margins, both for products sold on a spot basis in the quarter and for newly booked forward contracts. We're pleased with the continuing moderate gas costs and the increased stability that added shale gas supply has brought. Very good agricultural markets, strong crop nutrient demand, constrained product supply and moderate gas costs make our operating team's job sound pretty easy, but there are always challenges. In the third quarter, the biggest of these was the aftermath of the Missouri River flooding. Our team at Port Neal, Iowa did a particularly great job of anticipating the flooding, protecting the nitrogen complex at the flood's peak and bringing it back up to full production, even while it was nearly surrounded by water. About 60 miles south of Port Neal, closures of the 2 ammonia pipelines made it more difficult for producers to get ammonia to terminals in preparation for the fall season. Fast-moving waters scoured the bottom of the Missouri River during the flood stage, exposing the pipelines and forcing them out of service at the river crossings. This was a logistical challenge for some ammonia producers, but less so for us because of our scale and transportation flexibility. The Verdigris, Oklahoma complex was able to continue to serve our terminals to the west of the river via the Magellan pipeline, while the Donaldsonville, Louisiana complex served points east by way of the NuStar pipeline. At the same time, our supply chain team continued to leverage its access to barge, rail and truck transport to optimize delivery of ammonia to our terminals. Good execution also was visible in our production levels. Our team was able to run the nitrogen system at 100% of our stated capacity for the third consecutive quarter and our phosphate operations at 99%. The result of good execution under very favorable market conditions was record Q3 EBITDA, as I mentioned earlier. And operating cash flow was about $400 million higher than EBITDA, primarily due to a large increase in customer deposits. It's normal to have significant growth in the order book during the third quarter as customers prepare for fall. The dollar increase this year was made larger by higher product prices. Still, you can see from our balance sheet that there was an appetite on the part of many of our customers to book forward business during the third quarter, rather than remain exposed for the upcoming season. The result of strong cash earnings and forward orders was the first $1 billion quarterly operating cash flow in the company's history. The cash deployment actions we outlined last quarter were designed with the expectation of very strong cash flow and actual results did not disappoint. Those announced actions included an increase in our regular dividend, a plan to invest in projects that will increase our domestic nitrogen capacity and a share repurchase program for up to $1.5 billion worth of our common stock over 2.5 years. Since that announcement in August, we've kicked off several Front-End Engineering and Design studies for debottlenecking and product upgrading projects. We think we have some great opportunities ahead, but the bulk of the spending will occur after the studies are completed and the individual projects are approved. The area in which we already have deployed a large amount of cash is the share repurchase program. To date, we have spent $1 billion and repurchased 9% of our previously outstanding shares. The market gave us what we considered attractive windows in which to acquire those shares. Still, our cash balance continued to grow in the third quarter because operating cash flow outweighed our repurchases in the period. We'll continue to apply the same thoughtful and disciplined approach to cash deployment in the months ahead. Now I'd like to turn the call over to Dennis for a few more comments on our financial performance
Dennis P. Kelleher: . Thanks, Steve, and good morning, everyone. I'm pleased to speak to you for the first time as CF Industries' Chief Financial Officer. It's certainly an excellent time to be in the plant nutrient business. Since joining the company in August, I have focused my attention on getting up to speed in our business operations, our team and our financial position. I've been impressed with the quality and capability of our people, the strength of our business model and our strong shared commitment to operate in a safe, compliant and responsible manner. These strengths continue to be reflected in our financial results. During the third quarter of 2011, the company reported net earnings attributable to common stockholders of $331 million or $4.73 per diluted share. This compares to $48 million or $0.67 per diluted share in the third quarter of 2010. Our third quarter 2011 EPS included a non-cash impairment charge of $0.31 related to the permanent shutdown and removal of the methanol plant at our Woodward, Oklahoma nitrogen complex, a non-cash mark-to-market loss on natural gas derivatives of $0.12 and other small items detailed on Slide 7. Steve took you through some of the drivers of the strong pricing environment that underpinned our earnings performance in the third quarter. It's unusual for crop nutrient prices to maintain or exceed spring levels during the summer months when there is very limited application activity in the Northern Hemisphere. The very favorable supply/demand balance that existed this past summer made that possible and led to year-over-year price increases of 40% or more for ammonia, urea, UAN, DAP and MAP. Our nitrogen business had an outstanding third quarter. We delivered 3 million tons of nitrogen products and achieved a gross margin percentage of 49%, which you can see on Slide 5. In addition to much higher nitrogen selling prices, the increase in segment gross margin reflects slightly higher sales volumes compared to a year ago. During the third quarter, we sold nearly 1.6 million tons of UAN, which is an increase of 9% compared to the third quarter of 2010. Average UAN price realizations increased to $319 per ton or 70%, compared to the third quarter of 2010. The late and protracted spring planting season increased the value of UAN's greater application flexibility, contributing to strong restocking demand after the second quarter drew to a close. Similarly, third quarter sales of granular urea increased by 10% year-over-year to 701,000 tons. Our average realized price of $425 per ton was 60% higher than in the third quarter of 2010 and 9% higher than in the second quarter of 2011. During the third quarter of 2011, we sold 403,000 tons of ammonia at an average realized price of $552 per ton. Ammonia sales volume for the third quarter of 2011 was 21% lower than a year ago due largely to our decision to reduce quarterly commitments for industrial sales. Agricultural sales were also lower due in part to drought conditions in the Southern Plains. Our average realized sales price for ammonia was 40% higher than in the third quarter of last year. Compared to the second quarter of 2011, both agricultural and industrial market prices were higher, but our average realization declined because agricultural ammonia is a much smaller portion of our sales mix in the third quarter. Ammonium nitrate sales of 243,000 tons in the quarter were about 7% lower than in the third quarter of 2010 and prices were 33% higher. The average daily market price for natural gas at Henry Hub was $4.13 per MMBtu, $0.16 lower than the same period last year. Realized natural gas costs average $4.45 per MMBtu, up slightly from the third quarter of last year when we had virtually no forward sales and related gas hedges booked at the beginning of the period. As shown on Slide 6, our phosphate segment also had a very good third quarter. We achieved a 30% gross margin, nearly double the gross margin percentage reported a year ago, reflecting strong demand and prices. Total sales volume for DAP and MAP was 12% higher than in the third quarter of 2010, with domestic volume up 2% and export volume up 26%. 48% of our phosphate sales volume was exported in the third quarter because of strong buying interest and attractive net prices outside the U.S. Phosphate price realizations during the third quarter averaged about 40% higher than in 2010. As a result, net sales for this segment were $286 million, an increase of 57%. Now I'd like to provide a few more details about our share repurchase program. During the third quarter, we repurchased 5.6 million common shares for $878 million, of which $801 million had settled by the end of the quarter. We made additional purchases in October, which brought the total number of shares repurchased to date to approximately 6.5 million, and the total outlay to $1 billion. The average price we paid for these shares was $153.49 per share. The repurchase program lowered our average share count in the third quarter by 2.4 million shares, which increased our earnings per share by $0.16 in the quarter. The impact on the fourth quarter and subsequent share counts will be larger. The earnings release also mentioned that we're moving forward with the debottlenecking project in our Donaldsonville ammonia plant #5, which was acquired in the Terra acquisition. This project is expected to increase the plant's ammonia production capacity by approximately 100,000 tons per year, with an investment of $50 million to $60 million. Now with that, let me turn it back to Steve to discuss the outlook.
Stephen R. Wilson: Thanks, Dennis. We all are very pleased with our third quarter results and the way things are shaping up for the rest of the year and into next spring. In last quarter's call, we mentioned the possible concern that a late harvest could compress the fall application season. That concern now has been largely resolved. Although we still have some lagging areas, the harvest has progressed faster than average, providing a good start to the fall application window. Farm income is expected to set a new record in the 2011 growing season, about 25% higher than the previous record set just last year. Corn economics are very attractive for farmers, and we're projecting that more than 93 million acres will be planted next spring. So in a period when farmers are very liquid, we appear to have a very normal or better fall application window in most of the Corn Belt, ahead of a near-record expected corn planting. That's a recipe for very good fall season, if the weather cooperates. Over the last 1.5 months, we believe markets overreacted to new data points about corn stocks and estimated demand that have caused the 2011 projected stocks-to-use ratio to rise modestly. The important thing to note is that the USDA is projecting the second lowest corn stocks-to-use ratio in 40 years based on the season average farm price of $6.70 per bushel. If prices were to fall further, more feed and export demand would develop as we actually saw in October. This would drive stocks to an even more unsustainably low level. It's for this reason that we don't see much risk to corn prices in the near term. I also want to emphasize that tight coarse grain stocks are not just a U.S. phenomenon. Despite higher expected production in the former Soviet Union, South America and China, world coarse grain stocks are projected to decline by 7% in the 2011 and '12 marketing year. And the global coarse grain stocks-to-use ratio is expected to fall to the lowest level in more than 30 years. The wheat balance is not as tight, and we may continue to see some wheat substituted as a feed grain. We expect strong agricultural markets to continue to drive a tight supply/demand balance for all products over the next 2 quarters, supporting attractive prices and margins. Our solid forward book of business reflects this strength. Because of recent global economic uncertainty, North American buyers have been reluctant to purchase more crop nutrients than they're sure they will need for the fall. We expect buying appetite for spring to pick up as the fall application season progresses, and our customers' true needs become clearer. So in summary, we're bullish about the fall season due to high expected plantings, tight nutrient balances and a good start to the application season. Longer-term, we believe agricultural fundamentals will continue to support strong crop nutrient demand for the foreseeable future. With that, let's open the call to your questions. Erin, please explain the Q&A procedures.
Operator: [Operator Instructions] Your first question comes from the line of Brent Rystrom from Feltl.
Brent R. Rystrom - Feltl and Company, Inc., Research Division: Just a couple of quick questions. I would assume that you're getting a pretty good read on the extremely rapid anhydrous applications here in the fourth quarter just with the soil temp pretty much below 50 now everywhere in the Corn Belt. Is that a safe assumption?
Stephen R. Wilson: Well, Brent. We have great conditions in the marketplace. The soybean crop came off quickly. Farmers are in the field, and the weather is cooperating.
Brent R. Rystrom - Feltl and Company, Inc., Research Division: Do you get a sense that next year with refuge-in-a-bag becoming pretty much near mandatory that the cycle is going to be a little bit more favorable for nitrogen applications? Because I think quite a few people probably cheated on planting refuge and having refuge now in the bag, is going to probably lower yield capabilities for some farmers. I would assume that has to be favorable for nitrogen applications?
Stephen R. Wilson: Bert, you want to comment on that, please?
Bert A. Frost: Sure. So I think in the general sense for what we're looking towards next year, and I assume you mean past June of 2012, we are very positive for the issues we have articulated relative to stock-to-use ratio what is driving the farmer's decision. But yes, we are calculating that nitrogen applications and specifically to some of the areas you referenced could be very positive next year.
Brent R. Rystrom - Feltl and Company, Inc., Research Division: And final quick question, I don't know if you guys have been watching all the corn-based ethanol plants. You'd referenced South America, and I think you were referring to the Ukraine as far corn exports. Now there's 6 corn-based ethanol plants popping up in Argentina. I would assume that has to favorably enter the mix for maybe acres going in a little bit higher in North America?
Stephen R. Wilson: Go ahead, Bert.
Bert A. Frost: Well, if you're looking at corn-based ethanol in Argentina, we think that's a great situation for the world and for the continued analysis of the supply and demand because in order for those plants to be economically competitive, that will have to drive yields in Argentina which have been below the U.S. yields, which will then drive nitrogen applications which is positive for CF. And so as those plants come on and convert corn into alcohol and then probably into some -- whether to DDG or a feed grain complement, that is a fantastic situation for the world as Argentina exports corn. Relative to the U.S. in ethanol, we're very positive of that story also and what the current drop in corn in October provided to the ethanol producers. So we're positive of that market.
Operator: Your next question comes from the line of Michael Picken from Cleveland Research.
Michael Picken - Cleveland Research Company: Just a couple of quick questions. I guess the first question that I would ask is your operating rates were particularly high, especially on the phosphate side. And as we look forward out next couple of quarters, I mean, how hard can you run the phosphate plant specifically on sort of an ongoing basis? Can we assume that you're going to continue to run it at that 99% rate, or what's a good number to use?
Stephen R. Wilson: Good morning, Mike. We take a long-term view in the way we operate and maintain our plants, and that is given the nature of this business, when the sun shines, we want to make hay. And so we put money in our plants on a regular basis. We maintain them to a high level, and we intend to run them flat out consistently. Now obviously, we have scheduled turnarounds. We're disciplined about taking those turnarounds when planned, because that's the way you keep the plants ready to operate in a good environment.
Michael Picken - Cleveland Research Company: Okay, great. And then just turning quickly to the nitrogen side of the business and obviously, the forward curve has moved in your favor over the last couple of months. And if you could give us any color? I know that typically, you don't hedge too much beyond what you already have committed under your forward purchases, but any thoughts on forward hedging of natural gas?
Stephen R. Wilson: Well, our view on natural gas is bullish from a user's standpoint. That view has been borne out and -- throughout this year. We were looking at the script this morning, and it doesn't actually resemble a curve. It's pretty flat going out over a year. We're comfortable with our traditional approach to fixing nitrogen margins. The discipline that we have there is when we have a fixed-priced nitrogen order, we go out and do a swap and fix the margin. We'll continue to do that. When prices fall, we do get together and talk about whether we should consider taking positions in excess of what our nitrogen order book would require. We have, on occasion, done that to a modest degree, and we'll continue to look at that when the opportunity looks promising.
Operator: And your next question comes from the line of Ben Isaacson from Scotia Capital.
Ben Isaacson - Scotia Capital Inc., Research Division: We saw the impact of La Nina last year on fertilizer demand. I was just wondering if you could provide a little bit more history on how past La Ninas have impacted crop planting decisions by farmers and fertilizer purchasing decisions by both dealers and farmers heading into the spring? I mean, now we're hearing of calls for a stronger La Nina this year. And perhaps you could break it down a little bit on a regional basis?
Stephen R. Wilson: I'll ask Bert to handle that.
Bert A. Frost: Well, I think what you're seeing today, reflected in the Southwest which we discussed in terms of a drop of ammonia applications for the third quarter, is a reflection of decisions not to apply or to apply less crop nutrients up front and wait for the impact of moisture in those areas. Specific to your question, there -- we're in a great trend. I'll take it on a broader sense for feed grains and what is happening and the economic decision that a farmer will make, whether that be in South America or North America. Generally, it's wetter, and that impacts the soybean harvest in Mato Grosso and those areas of Brazil. But specific -- and to get as granular as you're desiring, I don't have a comment on that.
Operator: And your next question comes from the line of Elaine Yip from Credit Suisse.
Elaine Yip - Crédit Suisse AG, Research Division: So a question on your ammonia volumes in the quarter. You mentioned that they were lower because you sold less to industrial and there was some unfavorable weather impact in the Southern Plains. Did that impact, therefore, the sales mix in the quarter where you upgraded more ammonia to urea, UAN or do you actually have more ammonia products still available that you're deferring for 4Q delivery?
Stephen R. Wilson: Elaine, I think in general, we intend to sell about as much ammonia in the second half of this year as we normally sell.
Elaine Yip - Crédit Suisse AG, Research Division: Okay. And then with regard to your corn acreage projection of 93.5 million acres next year, how do you arrive at that number? Is that your view of the maximum number of acres that could be planted with corn, or could there -- or could farmers actually plant more? And if so, where do you think the incremental acres could come from?
Stephen R. Wilson: I think the principal driver of our analysis is what were the economics to the corn farmer. The economics are obviously very attractive. There's a smaller percentage of the revenue dollar going to crop nutrients than is traditional. There is a huge cash margin available. And then of course, we have to make some judgment about acreage that's available to plant. There has been discussion among experts about what's the ceiling for potential corn acres. We don't really know what that is. It feels like it's in the -- in mid-'90s, 95 million or so. We'd like to test that someday, and maybe we will next year.
Elaine Yip - Crédit Suisse AG, Research Division: Okay. And this is the final question on ethanol. Can you talk about the potential impact from the expiration of the blender's tax credit, import tariff, and then what is your take on the proposed legislation to perhaps link the mandates to corn stocks-to-use levels?
Stephen R. Wilson: Sure. Elaine, we have actually planned for the expiration of the blenders' credit and the import tariff. They're -- in order for them to stay in place, they would have to be renewed by Congress. That's a very extremely unlikely event. Fortunately, they have really not come into play recently. What has been happening in the marketplace is that ethanol production has actually exceeded the renewable fuels mandate level for economic reasons. We have had a situation in Brazil where ethanol has actually -- production of ethanol has been reduced in favor of more sugar production. And that's been favorable and actually some ethanol from the U.S. found its way into the export market to help out the Brazilians. And then finally, given where oil and gasoline prices are, adding ethanol to the blend has been advantageous to the blenders. With respect -- yes, the final part of your question was about potential legislation regarding the renewable fuels mandate. We know there are some -- there's some discussion about that. We believe that, that is a very low-probability event, but we're watching it closely.
Operator: Your next question comes from the line of Joel Jackson from BMO Capital.
Joel Jackson - BMO Capital Markets Canada: I was wondering if you could give some commentary on the inventory levels you're seeing currently at the distributors for nitrogen?
Stephen R. Wilson: Bert?
Bert A. Frost: I think what you're seeing in the United States, we did -- after the second quarter, draw down the inventory levels in United States for all products. And we saw that reflected in the demand during the third quarter. And specifically for UAN, it was substantial. And that, obviously, pulled into the fourth quarter. And so there are no numbers on the downstream inventory through TFI or through the official groups. But from our anecdotal evidence, we think they're modest, and we're very positive going forward into the spring season.
Joel Jackson - BMO Capital Markets Canada: Okay. And also with ammonia prices rising and gas pricing staying flat, are you seeing any trends or -- in how you're benchmarking some of your industrial ammonia contracts?
Stephen R. Wilson: Well, we obviously have been in a process of examining all of our industrial contracts as they come up for renewal. And we've attempted to remove the linkage to gas prices and price them more in line with our alternatives for using that ammonia. That alternative is obviously the ag market. So that's the direction we been headed, and we've been making steady progress in that regard.
Joel Jackson - BMO Capital Markets Canada: Are you able to give a bit of maybe quantitative numbers right now, where your current industrial mix is in terms of the benchmark versus ammonia versus gas?
Stephen R. Wilson: We've been making really good progress towards having those prices converge and, obviously, the direction we want it to converge is towards the ag price.
Joel Jackson - BMO Capital Markets Canada: And finally, I believe you were looking into introducing a product, sort of a sulphur MAP for Brazilian markets. Do you have any update on that?
Stephen R. Wilson: Bert.
Bert A. Frost: We're making progress, and it's not only for the Brazilian market, but also for the -- we're going to see -- we actually have demand and have had discussions with our customers in the Midwest and the Northern Plains. We would plan on bringing that product on in the second -- I would say, second quarter of 2012.
Operator: And your next question comes from the line of Charles Neivert from Dalhman Rose.
Charles N. Neivert - Dahlman Rose & Company, LLC, Research Division: You were discussing or were talking about, I guess, a number of different capital projects. You talked about the one at Donaldsonville. Could you care to go into some of the other ones you're thinking about? And I know it's probably a little too early to bracket dollars, but can you give some idea about the size of the increases and what products might be increased and what locations are being looked at right now?
Stephen R. Wilson: It is too early to be talking granularly about our menu that we're looking at. In general, we're looking at debottlenecks such as the one that we are embarking upon at Donaldsonville. And we're looking at product upgrades. We have initiated some feed studies. There are a couple of locations we're looking at. And in terms of committed dollars, we haven't authorized any additional projects. Our allocated bundle of capital is in the $1 billion to $1.5 billion range. And we know from our past experience that these types of projects are low-risk, high-return projects, and we look forward to moving on these and we'll make announcements as our analysis is completed.
Charles N. Neivert - Dahlman Rose & Company, LLC, Research Division: Okay. I mean, is it reasonable to assume that this -- the project that you're talking about, about 100,000 tons in the $50 million to $60 million area is probably one of the lowest cost of the bunch. But are they -- are the others sort of within, for lack of a better description, reasonable distance of that in terms of dollars per ton of addition or can't be determined?
Stephen R. Wilson: Well, I think you're right. This is a particularly low-hanging piece of fruit because we've done this kind of work before at Donaldsonville and in other places. So I really don't care to quantify what might come out of other projects, other than we know from our own experience that these will be very attractive projects.
Charles N. Neivert - Dahlman Rose & Company, LLC, Research Division: Okay. I mean, I guess, at the top end of the range, if you're talking about like new plant, and I know that's not in your -- in the things that you're looking at, where does new plant per ton run? Or in your opinion, where does that run? I mean, I've seen some pretty big some numbers on a per ton basis. But in your -- for you guys, where would that bracket around?
Stephen R. Wilson: I'll ask Tony Will to comment on that, Charlie.
W. Anthony Will: Charlie, our view is that new plants on a world-scale basis right now are in the sort of $1,000 to $1,500 per ton range. And as we look across our system, the kind of debottlenecking opportunities that are out there across our 13 ammonia plants, we believe, could yield up to approximately 3 quarters-ish to a full additional ammonia plant in the form of debottlenecks. So there is a lot of opportunities that we have out there that come at lower capital costs, lower risk than going with a new plant approach.
Operator: And your next question comes from the line of P.J. Juvekar from Citigroup.
P.J. Juvekar - Citigroup Inc, Research Division: Now that China's export window is closed, I think you said their urea exports were down 43%. Do you have a similar number for DAP? And then, what do you expect for 2012 given that China keeps buying more and more corn?
Stephen R. Wilson: We think their DAP exports are going to be down about 20% from last year, something in that range. This is significant drop from last year. With respect to what they might do in the future, it's our general belief that they've got issues related to feeding their own population, being self-sufficient. And so they seem to be on a path of trying to keep their production in country. Bert, do you want to add to that?
Bert A. Frost: I do have a comment. Relative to DAP and phosphates, the significant change in 2011 was the volume of NPs and TSPs that came out of China and generally went to South America or to India. And the change in the export regime that is expected to take place to draw those products in, in 2012, will have a huge impact, a positive impact for high-end phosphates. So looking towards what the window will be, we're expecting 4-month or less window in 2012, which will again be very positive to the world markets.
P.J. Juvekar - Citigroup Inc, Research Division: Okay. And then secondly, you talked about several brownfield expansions in nitrogen. Are you spending any CapEx to expand and improve the ammonia logistics infrastructure?
Stephen R. Wilson: Our ammonia logistics structure is superb as is. Now do we do tweaking at individual facilities? Yes. For example, we upgrade compressors. We've reconfigured how we move ammonia up the river through one of our terminals in Missouri. We do work to try to improve the efficiency in what is already a very efficient system. These are fairly modest projects involving modest amounts of money. But clearly, we love the ammonia business, and we want to make sure we're doing the best job we possibly can in it.
P.J. Juvekar - Citigroup Inc, Research Division: And lastly, just a quick question on Latin America. You're exporting more DAP and MAP to outside of the U.S. So what are the inventories in Latin America like? I'm wondering what you expect there given that there is a trend towards more double cropping?
Stephen R. Wilson: Bert?
Bert A. Frost: We're very positive of what is taking place in Latin America. Our exports, as you can see, were higher, and they predominantly went to Central and South America. Brazil and Argentina were the heavyweights, but also the Chile and Mexico and Central America. And so what is taking place with double cropping has 2 positive impacts to CF in the markets. As that area increases and as the value of double cropping and the protein producers have moved north into Mato Grosso, the value of those crops and the basis that has taken place with corn has been a net positive for the corn producer in Brazil. Relative to that is -- we talked about earlier, in Argentina, the yields on that second crop corn has traditionally been a cover crop in years past, as then farmers value as they are economically valuing that crop in the United States. In Brazil, to achieve a higher yield, the impact to the fertilizer market and, we hope, to CF Industries, will be a higher nitrogen level to take it from, let's say, an 80, 90 bushel per acre average, maybe up 120 or 130, which -- and we think they can consume because of the low level of exports relative to their total production of corn. So we are very positive, what is taking place and what that will mean to the N-P-K producers of the world.
Operator: And your next question comes from the line of Andrew O'Connor [ph] from Harris Investments.
Unknown Analyst - : I wanted to know -- Steve, can you quantify how low CF's plant product inventory currently is? Or give some more perspective on this, that is -- is the current plant product inventory, would it be at a 3-year low, a 5-year low, or how should we think about it?
Stephen R. Wilson: Well, our inventory position is generally right where we want it to be. We plan to serve our customers' needs. We have a great system to move product to customers. We have a lot of flexibility about which plants supply which customers. We think, overall, we're certainly capable of running with less inventory relatively than we had, let's say, 5 or 6 years ago because we've sharpened our pencils, and been more precise. And we've also now have a bigger array of assets. And so -- and we're able to be nimble in meeting demand. But we've got product to provide our customers, and we're pleased with our position.
Unknown Analyst - : Okay, fine. And then, as a follow-on to a prior question regarding corn acres for 2012, do you have a sense for where the incremental addition of 1.6 million acres would come from by geography or by state, or can you hazard a guess that way?
Stephen R. Wilson: Bert?
Bert A. Frost: The incremental acreage has generally come in. If you look at a map over the last 10 years, the growth in North Dakota and the Dakotas has been substantial. And also the Western Kansas -- or excuse me, Eastern Kansas, Eastern Oklahoma regions also where generally dry land has gone into corn acreage. And so your incremental acreage, this is an issue, as those incremental acres come in they're in marginal acres. And then yields are then lower, which can tend to bring the trend yield down..That would be one concern. But...
Stephen R. Wilson: And then also we've had some normally-planted acres that didn't get planted last year because of flooding or got washed out or -- so if the weather cooperates and the economics continue the way they are, we ought to have a good shot at hitting that acreage number.
Operator: And your next question comes from the line of Edlain Rodriguez [ph] from Lazard Capital Management.
Unknown Analyst - : You mentioned the sales mix in ammonia as a key factor for the lower sequential prices. Can you give us a sense of how much was industrial this quarter? And typically, what does the mix look like in Q4?
Stephen R. Wilson: Roughly -- in the third quarter, it was roughly half of each. And in Q4, it ought to be more like 2 to 1 ag, something like that.
Unknown Analyst - : Okay, that makes sense. And also, just one quick question in terms of like, forward sales. Like when you look ahead to the spring planting season, like, have you singled out a pre buy-in for that? I mean, over the past few months, what does it look like in terms of like your order book for the spring?
Stephen R. Wilson: Bert?
Bert A. Frost: Our order book is positive. We're actually pleased with our order book, allowing us to bridge this current quiet time in the market. October has been quiet, and that's almost worldwide except for India, due to the issues taking place in Europe and oscillations in the restrictions on credit. And I think our order book will allow -- I know it will allow us to bridge that period. People are starting the call and request and seek tons for the spring, and I expect by December that will take place.
Operator: And your next question comes from the line of Don Carson from Susquehanna Financial.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: Just, Steve, a question just on capital deployment. You've aggressively completed 2/3 of your share repurchase program. You've quadrupled the dividend, but still, you have significant free cash flow even over and above your debottleneck. So, I guess, 2-fold question. One, is the share repurchase program just a one-off, or is there a plan to have this as a regular use of a certain amount of your free cash flow? And your yield -- while you quadrupled your dividend, your yield is still only 1%. And certainly, a lot of other commodity cyclicals are up in the 3%, 4% range. So I just wondered if you could comment on both ongoing dividend level, as well as future share repurchase plans?
Stephen R. Wilson: Thanks for the question. These are wonderful questions. We made our announcement in August of our capital deployment program, and it wasn't 6 weeks later we were meeting with investors and we were being asked the same kind of question that you just asked. That's an indication that we're in a great business at a great time and generating lots of cash. We will continue to look at the menu of cash deployment alternatives in front of us, investment in the business inside the fence, buying assets and the cash deployment actions that you talked about with respect to shareholders' dividends and share buybacks. When we have made those decisions, we will be announcing them. But we'll continue to take the same disciplined approach that we've taken in the past.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: And on -- a follow-up on internal cash deployment. You've been very reluctant in the past and, I guess, you've continued to be, about building new capacity. And you cite uncertainty over potential EPA carbon taxes. So is it really uncertainty over those -- what those carbon taxes might be, or is it uncertainty over what you could get a long-term source of natural gas for? And is permitting an issue at all when you go to debottleneck existing plants? I mean is the EPA threatening carbon taxation on that additional output, or are you grandfathered under your current permits?
Stephen R. Wilson: Okay. I'll take a crack at some of this, and we'll see if we can do this in 10 or 15 minutes. We've talked on our calls about greenfield opportunities. And we know that the specter of the EPA looms over us with respect to new capacity. We don't really know what the impact would be of a big addition to CO2. We would have go for new permits, and that would be a tough process. On the other hand, should we have clarity and positive clarity in that regard, we have pretty good head start on what a new operation would look like because we spend a fair amount of money on our Peru project, and we would just pick up that design essentially and apply that hardware to one of our existing sites presumably or a new site, and we would be off and running. So it wouldn't be like we would be in the starting block. We would be part way around the track when that clarity came. And then I guess I would add to that, just to -- just a thought about what we talked about earlier. The projects that we are considering doing now are high-return projects, which are likely to have higher returns in a greenfield project. So we're doing the best stuff available to us right now. And, by and large, we think we can tuck that inside of our existing permit structure, but we have to look at each one of them individually with respect to national, local and state permitting. The -- with respect to long-term gas, we like the operating environment that we have in North America right now. The gas fundamentals are terrific. I happened to be on a panel last week with 3 shale gas producers. And they are very bullish from our perspective about the amount of gas they are producing. They're very interested in ginning up more demand for their product. And when I hear that, it makes me more interested in buying gas at today's prices or ongoing spot prices, so that the price at which a long-term contract might be available to us is probably a price that we wouldn't want to pay. And Tony, do you want to add a comment or 2?
W. Anthony Will: Yes. The only thing I'd say about the permitting side is, obviously, any time we increase production or make changes at one of our sites, we have to go through a permitting process. If we trip certain thresholds, then that requires a more complicated process unless we are able to offset at the local site. And a few of the debottlenecks that we're looking at, because of the volume of ammonia that is being produced and the amount of CO2 then that is generated as a result of that process, will require some more detailed permitting. But we believe that we've got a pathway to get through that.
Operator: And your next question comes from the line of Mark Gulley from Ticonderoga.
Mark R. Gulley - Ticonderoga Securities LLC, Research Division: A couple of questions. One is, with regard to the distribution system versus your production of nitrogen. Since you're sold out, does it make any sense at all to purchase for resale and distribution through your system additional nitrogen, particularly anticipating the increases in your own production that are -- will be coming down the road?
Stephen R. Wilson: Well, Mark, we do augment our ammonia production on a sporadic basis. We can do that effectively, and we do that as part of our decisions about what product mix to produce at Donaldsonville. We have terrific flexibility there. We can switch to a certain extent between urea and UAN, and we can dial back or dial up upgrading. Of course, in today's market, we do want to produce as much as we can. In terms of buying product on the open market and moving it up through the system, remember that these are commodities to trade at world prices, world clearing prices. And so doing that kind of thing for a couple of bucks a ton is really not what we're all about. We're about making product and realizing the very, very attractive manufacturing margins available in the business.
Mark R. Gulley - Ticonderoga Securities LLC, Research Division: Okay. Secondly, and kind of segueing from your answer, I know you like to sell ammonia for fall application, but you really like to sell urea and UAN for spring application because the margins are higher. From a marketing perspective, can you talk a little bit about what you're doing to entice farmers to understand the benefits of applying nitrogen when the corn needs it in the spring and fall, and not in the fall when it's 6 months away from growing?
Stephen R. Wilson: Sure. Let me make a brief comment, general comment, and then I'll turn it over to Bert. From an overall standpoint, we -- we're a big player in all 3 forms of nitrogen. We don't know what field conditions and weather are going to develop through each season. And so we are -- we want to be available to serve whatever need might come to the marketplace and we think we're great at being nimble with respect to products, not just with respect to locations. In terms of the general market?
Bert A. Frost: Well, further to that comment, I think our focus is we're constantly trying to understand the drivers from an economic position of where the best place and where is the best -- what is the best time to put our products to market. And so for that reason, during the third quarter, you saw that we did not export UAN because we felt it was better to stay in the United States and work with our distributor wholesaler customers. In terms of enticing farmers, that is not our business. We -- although we do have conversations with some large producers in the United States, we want them, and we're -- we want them to focus on applying the product at the right time with the right product that is the best yield enhancer for their products. And so in that sense, that's why we're fairly well balanced among the 3, even if you want to include ammonium nitrate, the 4 nitrogen nutrients. And so that's our focus, is understanding where in the regions that -- specifically corn because that has such a big draw on nitrogen, where will it will be grown, and where we need to distribute and position our products to capture those markets.
Stephen R. Wilson: And obviously, the basis of your question will be factors that we look at in making decisions about our future upgrading products. Where is the demand growth, where are the best margins, and how can we achieve the best mix possible. And that will be a complicated set of decisions, but it's a set that we really look forward to addressing.
Operator: And your next question comes from the line of Vincent Andrew for Morgan Stanley.
Vincent Andrews - Morgan Stanley, Research Division: I have a follow-up on the share repurchase question. I guess that's -- not that you intend to do another one, but is there any limitation on the amount of stock that you can purchase, whether it's in the calendar year 2011 or over the course of next year just as a function of your existing debt covenant?
Dennis P. Kelleher: Yes. This is Dennis Kelleher. The revolving credit agreement that we've got has got certain restricted payment baskets that sort of limit the pace at which we can do these things. Looking ahead -- and this is not to telegraph anything at all, it's just looking ahead -- if we were to find that in any circumstance that those restrictions may be too restrictive in terms of the pace at which we might do things, we would seek to either amend that agreement or to replace it.
Vincent Andrews - Morgan Stanley, Research Division: Okay. And you think the flexibility would be there to do something like that. And just a follow-up on that, Steve or Dennis, the last couple of times that we've talked about this, the goal is ultimately to have net debt to EBITDA of about 1.5x, the mid-cycle amount of EBITDA you expect to generate. If you'd like to put a number on what mid-cycle is, that'd be great. My guess is that you won't, but where do you stand on that leverage level today?
Stephen R. Wilson: We're substantially below it.
Vincent Andrews - Morgan Stanley, Research Division: But I know that, but where you stand on wanting to get -- where do you want to get to?
Stephen R. Wilson: Again, it's a long-term perspective. It's a leverage level that we are comfortable with in a steady-state. It would be a basis from which we could do a major strategic transaction. We can handle a major downturn. There's no magic to how we came to that. It's part science and part art. And we don't know when we'll get to that, in part because we don't know what the environment will be several years out. We frankly like the challenge of getting to that from the point at which we're operating today. That's a great place to be.
Vincent Andrews - Morgan Stanley, Research Division: Okay. And then lastly, could you, Steve, talk about sort of how you see supply and demand sort of globally playing out over the course of the next 12 months, whether it's -- you talked a little bit earlier about -- it doesn't sound like you think China is going to re-export anything on the nitrogen side. But what about -- how do you see Trinidad and Pakistan and the Middle East playing out over the next 12 months or so from a supply perspective?
Stephen R. Wilson: Well, the Trinidadians have some issues on gas supply. We operate down there. We're not quite sure whether these are short-term bumps in the road or whether it's something more systemic, and that we hope to get clarity in the months ahead. The issues that they have in Pakistan seem very serious. They've got hardware there they can't operate because they don't have gas supply. And that's obviously comforting to us from a business standpoint. It's not so good for the Pakistanis. And then overall, globally, we all know we have a number of projects coming on in 2012. They'll come on probably on a fairly ratable basis. And the market has shown a remarkable ability to digest these bubbles in the past, and I suspect that, that will occur here.
Operator: I will now turn the call over to Terry Huch for closing remarks.
Terrell D. Huch: We'd like to thank everyone who participated on the call today. If any of you need more information about CF Industries or our results, please contact me. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a great day.